Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2012 Results Conference Call. My name is Daniel and I'll be your operator. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) For opening remarks and introductions, I would like to turn the call over to Mr. Adolfo Castro, Chief Executive Officer. Please proceed.
Adolfo Castro: Thank you, Daniel, and good morning, everybody. Thank you for joining us today for the conference call for our third quarter 2012 results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on current management expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including those that may be beyond our company's control. For an explanation of these risks, please refer to our filings with the Securities and Exchange Commission and the Mexican Stock Exchange. On today's call, I will provide a brief update on the progress made in connection with LMM airport in San Juan Puerto Rico, and go over the key highlights of the results for the quarter. As announced mid September, Aerostar our joint venture with Highstar Capital has made progress on the regulatory financing and managing fronts. On the regulatory front the Puerto Rico Port Authorities have submitted an application to the FAA application pilot program. Following the publication the FAA will open application to public comment for a period of 60 days after which it will conclude the approval for process for the operation. At the same time and despite initiated this questions regarding application or apart 139 operating certificate. In terms of financing, ASUR and Highstar capital have committed to capital contribution of 50% of the $615 million upfront fee plus any closing costs minus any debt included by Aerostar to make this payment. At the same time, Aerostar received a term loan commitment for up to $350 million of an upfront fee, plus $50 million for capital expenditure and $10 million for holding credit facility. In addition, ASUR has agreed to lend Aerostar up to $100 million of an upfront fee at LIBOR plus 2%. Note that these loans must be repaid by Aerostar, prior to any equity distribution and ASUR will receive a 20% share on profit in excess of 14% annualized return should Highstar Capital decides to sell its interest in Aerostar. Finally, a transition management team has been appointed and effectively working towards a smooth transition by the closing of the lease agreement. Agustin Arellano, currently the director of infrastructure at ASUR has been named CEO of Aerostar. Brent Tasugi, a Highstar principal, has been appointed as interim CFO. For the moment, this is what I can share with you in connection with LMM airport. We look forward to providing additional updates as we move along on this front. Moving onto results. This was a good quarter. Passenger traffic increased 10.2% year-on-year. This was mainly driven by a 17% growth in domestic traffic, which reached 2.48 million passengers this quarter the highest for a third quarter ever. Domestic traffic was particularly strong at Cancun, Cozumel, Minatitlan, Huatulco, Veracruz and Villahermosa. Traffic at Cancun continued at historical peak reaching 1.4 million passengers while the smaller airports it still reflect the impact of the lack of domestic airlines fleet capacity. International traffic rose 3.5% to 2.3 million passengers. The share of international passenger traffic however fell to 48% of the total traffic from the 51% in third quarter 2012 -2011. Passenger traffic between Mexico, Canada and The United States represented 86.3% of the total traffic compared with the 87% a year ago. Revenues this quarter rose 16.5%. Excluding construction services, total revenue would have increased 14.4%. Commercial revenues per passenger rose to Ps. 67.8 a record for a third quarter. As usual we remain focused on maximizing commercial revenue opportunities, however this has not been an easy task due to the change in passenger needs and the fact that we are not allowed to sell duty free items to the domestic passengers. Operating cost and expenses were up 13% year on year reflecting higher construction cost and cost of services. Excluding construction costs, operating costs will have risen by almost 8% driven by cost of sales from higher revenues at our direct commercial operations, and expenses resulting from our participation in international process. Costs also include fees from the [fund] required in the appeal of a decision overturning a tax credit at Cancun for 2006 and 2007. EBITDA was up 18%, with an EBITDA margin increase of 63 basis points year-on-year to 56.6%. We made investments of Ps. 122 million this quarter as we continue with the terminal expansion in Huatulco, Oaxaca, Veracruz and Villahermosa airports which are expected to be completed during the year 2013. The expansion of Merida airport concluded this last September. Our next step is to present our [mass development] plan proposal for the period 2014-2018 to the federal government which we will do the end of the year. Finally, our strong balance sheet remains strong with cash and cash equivalent with Ps. 1.9 billion and bank debt of Ps. 414 million at the close of the quarter. Now, let me open the floor for questions. Please Daniel, go ahead.
Operator: Thank you. (Operator Instructions) Our first question is from the line of Eduardo Couto with Goldman Sachs. Please go ahead.
Eduardo Couto - Goldman Sachs: Hi, good morning, Adolfo, good morning, everyone. Have two questions Adolfo, the first one on the commercial revenues actually the non-aeronautical revenues per passenger, this number was growing around -- I would say in the teens around 12% in the first half year-on-year and then in the third quarter the non-aeronautical fees per passenger, they still grown but they decelerated to something around 4% growth year-on-year. Just would like to understand if there is any reason for these deceleration on the growth pace of the non-aeronautical revenues. That's the first question, thank you.
Adolfo Castro: Yes, Eduardo, good morning. Basically what I was mentioning in the initial remarks, the passenger mix gets changing or it's changing and we are having more domestic passengers and in the case of domestic passengers they are not allowed to buy duty-free. This could be probably the main reason why this is decelerating.
Eduardo Couto - Goldman Sachs: Okay, so if you see a reverse in this trend of in this mix your commercial revenues per passenger can boost again, that's possible.
Adolfo Castro: That's possible, yes.
Eduardo Couto - Goldman Sachs: And just another question, Adolfo, regarding the development plan. You said that you're now [delivering] the new plan for '14 -- '18. Can you remind us what are the upcoming steps of this process until the final approval, just to clarify what happened from here?
Adolfo Castro: Okay. The process had start around June last year, when we have to select someone to help us on the process, then as from October up to May of this year, October last year, may this year, we prepared our proposal. The proposal is now in the hearing process, the users have six months hearing process, basically the airlines. And they have to provide us -- our their comments during the month of November, once we have their comments and we adjust the document accordingly, we will have to present that to the federal authorities at the latest the last day of this year. And then they have one year to review the document and to approve the -- or to set up a new proposal for the MDP and the new rates that we will be -- [validate] from the first day of January '14.
Eduardo Couto - Goldman Sachs: Okay. So the new rates will only be announced by probably the second half of next year right?
Adolfo Castro: No. But in my opinion, if everything goes in accordance with the plan, the announcement will have to be made let's say January, 2014.
Eduardo Couto - Goldman Sachs: Okay. Thank you.
Adolfo Castro: You're welcome.
Operator: Thank you. Our next question is from the line of Neal Dihora with Morningstar. Please go ahead. Neal your line is open.
Neal Dihora - Morningstar: Yeah, thanks. I think in the prior quarters you had said that international traffic had been slow because of some weakness in the U.S., I guess I was wondering if you had seen any changes with respect to that? And then the second question was for CapEx, for 2013, I think within the MDP that you filed, some time ago that CapEx number was close to Ps. 6 billion and I don't think you've gotten anywhere close to that. So some of that is going to be moved into the next MDP? And those are my questions. Thanks.
Adolfo Castro: Okay. In your first question, nothing has changed. The U.S. traffic still weak. And in international front we are seeing growth in Canada, growth in Europe and in South America. In the case of the MDP, we have to comply with the MDP, that we have committed with the government. Of course, the numbers that you're seeing have not probably, probably are not reflecting the adjustment we made in the case of Veracruz and Villahermorsa airports. Apart from that we will have to comply with the number, you said Ps. 6 billion that number does not ring my head -- I will recommend you to go and see the press release we've published on April, 2009. That's the number -- of course that number have to be adjusted with the case of Villahermorsa and Veracruz with a portion of that CapEx in those particular airports, yes, were moved to the next MDP but apart from that we will have to comply with the rest.
Neal Dihora - Morningstar: I guess just, if I can have another one, just on that -- do you know, or have plans for spending for 2013?
Adolfo Castro: I don't have a figure in the top of my head but it should be I don't know close to Ps. 600 million, Ps. 700 million.
Neal Dihora - Morningstar: Okay. That's all. Thanks.
Operator: Thank you. Our next question is from the line of Nicolai Sebrell with Morgan Stanley. Please go ahead.
Nicolai Sebrell - Morgan Stanley: Hi, Adolfo. I apologize if this has already been discussed. But could you talk a little bit more about, how and when you're going to handle the Puerto Rico airport? For example accounting, I assume, is going to be a one liner as equity income? And two the financing, I assume is going to be mostly project level financing and then, you have a balance sheet to handle the equity component? That's the first question then second question is as far as I know, you're still the CEO, the CFO, the IRO, and you had said previously that you might consider bringing somebody on board to do some of those responsibilities. Are you looking to hiring somebody?
Adolfo Castro: Hi, good morning, Nick. Let me go through your questions. The first one, accounting on LMM, 99.99% is that we will have to consolidate this on the equity matter in accordance with International Financial Standards, so that means one line in the P&L that's what you are basically saying. In the case of financing, basically we will have some debt at the project level that's Aerostar and of course the equity that will have come from ASUR to Aerostar is our intention to fund that with debt. In the case of CEO, CFO and the rest, basically our intention is to have a change in the structure once we receive and the Puerto Rico airport is, it's a fact it's not today that we are in the process to get approval from FAA and of course we cannot assure at this movement that this is the FAA will approve the operation. So once we have this in operation than we will have to adjust the structure of the company accordingly.
Nicolai Sebrell - Morgan Stanley: Brilliant, thank you.
Adolfo Castro: Thank you.
Operator: (Operator Instructions) (Inaudible) with GBM.
Unidentified Analyst: Hi, good morning, Adolfo. I would like to ask if you could give us a little bit more inside regarding the bond needed to appeal the tax credit?
Adolfo Castro: In the case of the tax -- good morning, in the case of the tax credit there is no -- something to tell you in terms of the plans, in terms of the progress in the court. Normally this process takes two to three years. So there is, there is nothing that I can say to you more than what you know.
Unidentified Analyst: Thank you and this bond is like an insurance for the Ps. 334 million you stated in potential benefits and fines in the fourth quarter.
Adolfo Castro: Yes and no. The amount that we have to cover to federal authorities is around Ps. 800 million pesos and this again is from the top of my head. The number that you are talking about probably is the number that could be in risk. It is not what we have to cover in term of the part.
Unidentified Analyst: Okay, so the Ps. 865 million is what the bond is for right?
Adolfo Castro: Exactly.
Unidentified Analyst: Okay. Thank you.
Adolfo Castro: You're welcome.
Operator: Thank you. Our next question is from the line of Lupe (Inaudible) with [Mexico Fund]. Please do ahed.
Unidentified Analyst: Hi Adolfo, good morning. I just wanted to make sure that the investment Mr. Mr. Fernando Chico Pardo is doing in Gruma is totally separated from ASUR and if you see several investments coming also from him?
Adolfo Castro: Hi, good morning (inaudible). What Fernando's intentions are in the case of Gruma does not have anything to do with ASUR. Probably we'll sell some authorities at the airports, but after that it doesn't have anything to do with ASUR at all.
Unidentified Analyst: Okay, and that's the plan to keep totally separated from ASUR.
Adolfo Castro: Nothing has to do with ASUR.
Unidentified Analyst: Okay, thank you.
Adolfo Castro: You are welcome.
Operator: Thank you ladies and gentlemen. (Operator Instructions). I am showing no additional questions, I would like to turn the call back to Adolfo Castro for closing remarks.
Adolfo Castro: Thank you, (inaudible), and thank you for everybody and thanks for joining us today on our conference call. As always, do not hesitate to contact me if you have any further questions. Thank you for being here and have a good day. Good bye, everybody.
Operator: Ladies and gentlemen that does conclude our conference for today. Thank you for your participation. You may now disconnect.